Operator: Please stand by, we're about to begin. Good morning. This is Heidrick & Struggles Third Quarter 2014 Conference Call. This call is being recorded. It may not be reproduced or retransmitted without the company's consent. (Operator Instructions) Now, I will turn the call over to Julie Creed, Vice President of Investor Relations and Real Estate. Please go ahead.
Julie Creed: Good morning, everyone, and thank you for participating on Heidrick & Struggles third quarter 2014 conference call. Joining me on today's call is our CEO, Tracy Wolstencroft; and Rich Pehlke, our Chief Financial Officer. As a reminder, we'll be referring to supporting slides that are available on our Web site at heidrick.com, and we encourage you to follow along or print them. As always, we advise you this call may not be reproduced or transmitted without our consent. And in today's call, we'll be using the terms adjusted EBITDA and adjusted EBITDA margins. These are non-GAAP financial measures that we believe better explain some of our results. A reconciliation between GAAP and non-GAAP financial measures can be found on the last page of our press release and on Slide 21 in our supporting slides. Throughout the course of our remarks, we'll be making some forward-looking statements and ask that you please refer to the Safe Harbor language contained in our news release and on Slide 1 of our presentation. The slide numbers that we'll be referring to are shown in the bottom right hand corner of each slide. And Tracy, I'll turn it over to you.
Tracy Wolstencroft: Thanks, Julie, and good morning everyone, and thank you for joining today's call. Our third quarter results reflect continued signs of progress. Year-over-year revenue growth of 6% was driven by $3.8 million of revenue growth from Europe, and $3.8 million of growth from our Senn Delaney Culture Shaping business. We achieved year-over-year improvements in the number of confirmed Executive Searches and productivity. And importantly, adjusted EBITDA and operating income increased in the third quarter. Consultant headcount and Executive Search and Leadership Consulting at the end of September were stable at 311. It's worth noting that in the last two months, six of the consultants we hired are returning to Heidrick & Struggles. This is a strong testament, not just the stability of our firm today, but about the potential of our firm looking into the future. We remain focused on recruiting, developing and retaining highly productive consultants to grow revenue, and we'll keep investing to achieve that while managing profitability. Our third quarter results were in line with our expectations, and the trends continue to be positive. We've stabilized the company. We grew revenue in line with expectations. We improved productivity, profitability and are investing in what is needed to grow the firm. There is still room for improvement, and we're approaching our initiatives with a sense of urgency. I'll have more to say about some of our initiatives after Rich gives you a review of our results in the quarter.
Richard Pehlke: Thanks, Tracy, and good morning everyone. I'll review some of the key financial and operational metrics and touch on some of the key variances. Slides 2, 3 and 4 indicate what Tracy has already highlighted. Consolidated net revenue in the third quarter was $125.8 million, up 6% or about $7 million, compared to last year's third quarter. Executive Search and Leadership Consulting revenue grew about 3% year-over-year, or approximately 3 million. And Culture Shaping reported a great quarter, up 57% or about 4 million. Before I go into more detail about the segment results, I want to explain a change we made in the third quarter; as part of our ongoing review of the methodology by which we allocate corporate and support costs to each of our regions, certain costs that were previously allocated to global operation support are now being allocated directly to the regions. When a corporate cost is incurred in support of client-facing operations, it is allocated to the operations based on either revenue or employee headcount drivers. This helps us to continue to better manage operational efficiencies and profitability, and more accurately reflects how we currently manage the business. Our prior period results in the slides have been recast to reflect these changes, and present comparative year-over-year results. And supplemental information has been filed in an 8-K to reflect the changes we've made. Now, in Executive Search and Leadership Consulting; Europe, shown on Slide 6, was again this quarter's key driver of the year-over-year revenue growth, up almost up 4 million, or 3 million on a constant currency basis. The Financial Services and Industrial practices were the drivers of growth in this region. We ended the quarter with 91 consultants in Europe, up compared to last year's third quarter, and up sequentially. Improvements in consultant productivity and average revenue per search also helped drive strong results. Along with the revenue increase, Europe achieved a significant improvement in operating income and operating margin. Revenue in the Americas region, which is shown on Slide 7, was essentially flat compared to last year's third quarter at 65 million. Growth in Global Technology & Services, Financial Services and in the Education, Nonprofit and Social Enterprise practices was offset by declines in the other practices. Consultant headcount was 139 at the end of the third quarter, also up year-over-year and sequentially. Productivity was flat and the average revenue per search was down slightly. Operating income and operating margin declined, compared to last year, reflecting an increase in salaries and employee benefits and G&A expenses. In summary, the America's results reflect two primary factors. The first is the rebuilding effort in this region with respect to the talent that we've hired over the last year. These consultants are in track to hit their target productivity levels. The second are the declines in the Industrial and Life Sciences practices. We're seeing encouraging signs of improvement in the Industrial practice, and are specifically looking to invest and hire more consultants to enhance our coverage within the Life Sciences practice. As shown on Slide 8, revenue in the Asia Pacific segment was flat, compared to last year, at 23.3 million. Growth in the Financial Services and Education, Nonprofit and Social Enterprise practices was offset by declines in the other practices. Consultant headcount at the end of the third quarter was 81, lower year-over-year and sequentially. Productivity was essentially unchanged year-over-year, and the average revenue per search was down slightly. Operating income and operating margin, both improved as a result of lower salaries and employee benefits and G&A expenses. Now, looking at the Industry practices globally on Slides 9, 10 and 11, you'll see that the Financial Services, Education, Nonprofit and Social Enterprise, Industrial and Global Technology and Services practices all grew year-over-year in the third quarter. For the first nine months of the year, the consumer markets, Financial Services and Global Technology and Services practices have been the growth drivers, compared to the same period of 2013. Now, looking at our Culture Shaping segment on Slide 12; revenue increased 57% or about 4 million. It was the best quarter ever in Senn Delaney's 30 plus year history. Our reported results benefited from favorable comparisons due to approximately 300,000 of deferred revenue that we were unable to recognize in last year's third quarter as a result of purchase accounting. But the primary explanation for the great results is that we're serving large clients, who are at the similar points in their respective Culture Shaping process cycle with the highest point of revenue generation all taking place in the third quarter. So when we adjust 2013 on a pro forma basis and add back the unrecognized revenue, Culture Shaping still increased 23% over the nine months. It was a great result. Importantly to remember though is that year-to-date operating margins in the segment have improved even more. Specific to the improvement in operating income in the third quarter, revenue growth, specifically the growth in license revenue was the key driver. Again, it's important to remind you that because of the size of this business and the timing of project initiations clearly indicated by what happened in third quarter, there will continue to be variability in individual quarter results. Turning to Slide 13; third quarter annualized consulting productivity improved to 1.5 million compared to 1.4 million in last year's third quarter. The trailing 12-months consultant productivity continues to run at 1.5 million. There will be some variability in that metric as we continue to invest in new consultants, but it is still moving in the right direction. As you can see on Slide 14, which is specific to Executive Search, search confirmations in the third quarter increased 8% year-over-year, and continue to trend higher than 2013 level. As a remainder, fourth quarter confirmations tend to be lower than third quarter, due primarily to the holiday season and year end. Slide 15 shows the average revenue per search of just over a 122,000 in the quarter. It's still running about a 115,000 on a trailing 12-months basis. Slide 16 and 17, salaries and employee benefits expense increased 2.4 million to 84 million, representing 66.8% of net revenue. Variable compensation increased 3.1 million as a result of the higher revenue; Europe being the key driver, while fixed compensation expense declined to about 700,000 in same period. Turning to Slide 18; general and administrative expenses increased 3.3 million or 11% to 32.2 million, representing 25.6% of net revenue; 1.8 million of the increase was related to the Global Partners Meeting that was held in July in Chicago. Another one million of the increase was related to higher professional services, hiring and staffing piece, which support our growth initiative. Moving to Slide 19 through 23; adjusted EBITDA in the third quarter improved to 15 million compared to 13.8 million in the comparable quarter of last year. Adjusted EBITDA margin was 11.9% compared to 11.6%. Operating income in the third quarter increased to 9.6 million, the operating margin improved to 7.6%. The improvements in adjusted EBITDA and operating income reflect the higher net revenue. Turning to Slides 24 and 25; we reported net income in the third quarter of 3 million and diluted earnings per share was $0.16. These results are lower than last year, because of a higher effective tax rate, 66.4% compared to 45.4. The higher tax rate was due to the establishment of evaluation allowance in the Asia Pacific segment, as well as the change in the forecasted mix of income for the year. A full year expected book tax rate is 75%. Our cash tax rate for the year is still expected to be considerably lower. Looking at Slide 26; cash and cash equivalents at September 30th increased to 159.5 million from 123.4 million at the end of June. Our debt position decreased 1.5 million in the quarter to 31 million at the end of September. Cash provided by operating activities in the third quarter was 43 million, compared to 36.6 million in last year's third quarter. Looking forward to fourth quarter, our Executive Search backlog is shown on Slide 27 and monthly confirmation trends are shown in Slide 28. We're forecasting fourth quarter net revenue of between 112 million and 123 million. The factors on which we base this forecast include our current backlog, monthly confirmation trends for Executive Search and Leadership Consulting, anticipated fees, expectations for Culture Shaping services, the number of consultants, the current economic climate and stable currency rates. With that, I'll turn the call back over to you, Tracy.
Tracy Wolstencroft: Thanks, Rich. Recently, we formalized our purpose statement. That is, we help our clients change the world, one leadership team at a time. Our purpose illustrates that Heidrick serves as a critical bridge between the world's challenges and the leaders who overcome them. And our purpose compliments our vision, namely to go-to-market as a one firm trusted advisor providing integrated leadership solutions to the world's leading organizations. Now together, our purpose and our vision serve as a compass to guide us in how we deploy and develop our people, spend our time and invest our financial capital. So let me touch on the two constituents, who are key to fulfilling our progress and achieving our vision; our people and our clients. Our people continue to be my top priority. Strengthening our business requires attracting great people and investing in them through training and development. It requires collaboration, trust, teamwork and the ability to embrace change. We are working to fully leverage our global footprint and the breath of our industry sector expertise. On our second quarter conference call, I described the energy and enthusiasm we felt at our Global Partners Meeting held in early July in Chicago. This positive energy continues to grow. The people at Heidrick today are deeply engaged and want to see us continue to grow, they simply want to win. We've continued to embrace our own internal Culture Shaping initiatives led by Senn Delaney. To-date, more than 225 of our partners and corporate leaders have participated in the initial phase. By the end of November, another 140 will join the process. Not only are we taking the opportunity to actively shape and strengthen Heidrick & Struggles culture, it's been an opportunity for everyone to experience and understand firsthand the value of one of our core service offerings, again, namely Culture Shaping. The second constituent is our clients. Each interaction with the client or prospect is an opportunity to demonstrate our capabilities in Search, Leadership Consulting and Culture Shaping, and ultimately build stronger, deeper relationships as their trusted leadership advisor. I'm pleased with the growing number of opportunities we've secured to present our services and solutions to meet our client's needs. In the third quarter, we firmly began our most significant integrated solutions assignment to-date for a multibillion dollar industrial enterprise with over 100,000 employees. Initial phase will start as a Culture Shaping project, followed by leadership assessment and development of the top several 100 executives. Our goal is very clear; to help our client develop the culture, talent and leadership it needs to be fully competitive in a rapidly changing global business environment. Moreover, and constituent with our purpose, we must continuously enhance our service and solutions capabilities to address our clients' leadership needs. For that effort, we have developed two important assessment tools. One is called Executive Culture Profile and the other is Leadership Signature. Executive Culture Profile is used to analyze how well a candidate aligns with the company's culture or whether he or she possesses the traits to drive a new culture. You may recall that I referred to one of the first uses of Executive Culture Profile at our quarterly call back in April. The other tool which we're introducing today in North America is Leadership Signature. It provides deeper insight into how a candidate will lead in a new role. We develop Leadership Signature in-house, leveraging the firm's Executive Search, Leadership Consulting and Culture Shaping expertise. These and other tools that we're developing will give us further capability to help our clients better understand the unique cultural and operational factors affecting a leader's performance in any new role. They help better inform our clients about their most important human capital decisions, and they will help us further drive our client's success. We're also harnessing ideas and innovative thinking to grow our firm and expand its reach. For example, this summer we launched a new specialty practice for the Internet of things. The "Internet of things" is a popular phrase describing the interconnectivity of devices and machines. It is a massive trend crossing all industries. It represents an important growth opportunity for us, as we help our client's inversely any industry sector, find executives able to lead in our hyper-connected world, as well as provide the Leadership Consulting and Culture Shaping services they need to succeed. In closing, while third quarter results were within our expectations they also suggest we can do better. What excites me most about the opportunity ahead for this firm are the ways we can help our clients build exemplary leadership teams to help achieve their purpose, and in doing so help address many of the world's challenges. Leadership is more critical than ever in an increasingly volatile and unpredictable world, and we're privileged to work with our clients in navigating that change. Our purpose and our focus on delivering integrated solutions is resonating both internally as well as with our clients. I'd like to thank our employees for embracing change and for their continued commitment. We're approaching our initiatives with a sense of urgency and we're deeply committed to win in the market. At this time, let me pause. Rich and I'll be happy to take any questions. Jamie, back to you.
Operator: Thank you. (Operator Instructions) We'll take our first question from Tobey Sommer with SunTrust.
Frank Atkins - SunTrust: Hi. This is actually Frank in for Tobey. Thank you for taking my question. I just wanted to ask a little bit about the confirmations in October and the guidance. Can you give us the assumptions in guidance, based on what you're seeing in October and for the remainder of the year?
Richard Pehlke: Well, as you probably know from our past practice, we don't specifically go into the individual elements of the guidance forecast. Certainly, confirmation is one of our key drivers. We take into account confirmations, anticipated fee revenues, upticks, number of consultants and really overall look at the economic climate. So I don't think our guidance -- I'll say this relative to the outlook. I don't think there is any one thing that drives, maturely our guidance forecast one way or the other. I think there are couple of things that we're looking at very closely. Number one, the economic climate in what has been our strongest region to-date, which is Europe. There's been a lot of public noise in the business marketplace, in the economic marketplace that suggests a changing climate in Europe. Our results to-date don't reflect that, they've been very strong, but certainly we're watching that very closely. Number two, the one thing that's been more volatile element of our revenue this year has been the level of upticks we reported in each quarter. The changing dynamics around fee structures and certain assignments relative to how they're either priced or structured has brought in little bit more volatility and upticks. As you know upticks get recognized more immediately. If upticks grow, and there's really no way of really knowing that until the search is complete, it's certainly can drive our revenue up or down in a meaningful way. So we're looking to lot of those things, but they're all unbalanced factored into how we build the forecast.
Frank Atkins - SunTrust: Okay, great. That's very helpful. And then, second question on consultant headcount, what are you seeing or what are you playing for in terms growth going forward in consulting headcount given the environment? And if you could give us maybe some numbers in terms of turnover, either gross adds and losses, or any colors on the type of loss?
Tracy Wolstencroft: Let me just give an overall comment upfront. This is Tracy, and then Julie can walk through the numbers. The single most important thing with respect to headcount is that when we take on new people to the firm, either those who are never been it before as I referenced a number that I've decided to return, what we're looking at is quality and high quality.
 :
Julie Creed: Frank, it's Julie. We had -- as Tracy said, we had the same number of hires as we did (indiscernible) '13 for a combination of voluntary and involuntary reasons.
Frank Atkins - SunTrust: Okay, great. That's helpful. And then, one last quick question from me, can you talk a little bit about Asia pacific? We saw a sequential decline there. What do you see and what's your visibility in the region going forward?
Richard Pehlke: 
 : Number two, we've seen from a fee perspective, a slight -- we haven't seen the momentum we'd like to see in terms of overall fee structure. We're still -- we believe we're the largest Executive Search firm in the region. And so, we have strong market share, but we've seen trends in peak growth not be as strong as we'd like just reflecting kind of a slowdown in the economic growth overall from anticipated rates in the region. The region is still growing, but salaries and compensation structures particularly haven't grown as much as hopefully we'd have liked. As a result, it's impacted some of the fees as well.
Frank Atkins - SunTrust: All right, great, thank you very much.
Operator: Our next question comes from Kevin McVeigh with Macquarie Capital.
Tracy Wolstencroft: Hi, McVeigh.
Kevin McVeigh - Macquarie: Hey, how are you?
Tracy Wolstencroft: Good.
Kevin McVeigh - Macquarie:
 :
Tracy Wolstencroft: Sure. Thanks, Kevin. In the United States as Rich described, there are two places where we haven't particularly seen an impact with regard to the people we have on the ground and the rebuilding that we're doing. One is in the Industrials, and the second is around Life Sciences. The good news is that we have momentum in both, we have the quality of the assignments and the quality of the clients we're working with Industrials and Life Sciences is very high. If there's a balance to that, it's that we are looking for more people. We're looking for more people and more opportunity to show that what we're doing for clients we can do for an expanded list. And so that has a lot to do with the numbers that you see in the U.S. And that's just a continuation of the theme since my arrival, which is rebuilding where we had lost talent in the marketplace.
Kevin McVeigh - Macquarie: Got it. And then the other thing, you had mentioned, I know of -- just anything in terms of changing dynamics around fee structure; just any thoughts on that. Is that more from a competitor perspective or just is the Culture Shaping becomes a bigger component of the value proposition? Any sense of -- again, just changing in fee structures, anything like that?
Tracy Wolstencroft: Yes, I'd say -- look, it's a competitive marketplace as all of you know on the phone. I'd say one of the reasons why you see us adding assessment tools to our search process both on culture with Executive Culture Profile, and then with respect to leadership with the Leadership Signature, which we're announcing today, is we recognize the clients are looking for more. This is an important takeaway that I've felt from being in the marketplace with the clients, with our consultants, is they're looking for our judgment, but they're also looking for assessment processes that company had. And our interest in investing in those assessment vehicles is really to compliment our search process right now, as well as expand, we're broadly down the road with respect to assessment, but part of the reason we're doing that is we realized clients are looking for more value in terms of what they get from Heidrick and from some of our competition. Everyone will be in a position to give them that, so that we don't have to adjust the fee, but rather can support the fee because of the higher value they get from us.
Kevin McVeigh - Macquarie: Super, thank you.
Operator: (Operator instructions) And we'll take our next question from Kevin Steinke with Barrington Research.
Kevin Steinke - Barrington: Good morning.
Tracy Wolstencroft: Good morning.
Kevin Steinke - Barrington: I was wondering if you could speak more to your success and winning your largest integrated assignment, and how that came about, and if you have others like those in the pipeline?
Tracy Wolstencroft: Sure. So in this particular assignment, it really speaks to one of the major themes that we're driving culturally here, which I referenced when I described our vision, which is to go to market as one firm. And the way this came about was from our Executive Search consultants in the field raising the opportunity that they saw with respect of this Industrial, and the opportunity that they felt that there was an expended conversation to be had with that client, not just about search, but about our Leadership Consulting and in particular the assessment component of that, and then beyond that to Culture Shaping. What could be became clear as we got into it with the client is that the dimension that Heidrick could bring to the discussion that they valued very high and very much wanted to start very quickly was Culture Shaping, because the companies they referenced has 100,000 plus employees. They're adjusting the direction. They needed to create alignment around that. And so, really simultaneous with the assessment process, we have a Culture Shaping process ongoing and it's a great example of also very much working at the top. These integrated solutions have to be coordinated internally across all levels, but very much including the CEO in the broad C-suite. And that's exactly what's happening here. So net-net, a good example of going to market as one firm, I'd say that your broader question is about how many more of these, I'm not going to speak to numbers, but I'd just convey that the culture that we're driving towards here and that we're working towards is to help people that Heidrick understand the power of that integrated platform and the integrated service platform to our clients. So search plus.
Kevin Steinke - Barrington: Yes, perfect, that's helpful. And you've talked quite a bit about trying to attract new consultants and rebuild headcount that way. What about the internal development side? Have you done anything to change the process you use there in terms of developing people and maybe getting them up to speed more quickly and building headcount that way as well?
Tracy Wolstencroft: Yes, the answer is yes. I think one of the assets that I saw really from my earliest days here in Heidrick is the power that internal development that we have with people from their earliest years as an associate right through the partners. Some of our most productive partners as well as most impactful in the commercial market have been in Heidrick from the earliest days of search. So that is a -- the whole, what you're really speaking to here, Kevin, is not the whole dimension of attracting talent, but also developing it, and retaining it. I'd say developing young talent as it comes in all the way through is something that we're very focused on. There's a couple of initiatives right now that the Management Committee is looking at around that to strengthen that whole curve from associate to partner, and as we do every year we're -- by the end of the year, we'll be deep into the whole process of who is the talent that we have right now, coming up that we think are ready to be principles and partners, and that's a very rigorous thoughtful process. It consists of my opening comment. It's absolutely one of the best assets that I noticed very quickly coming into Heidrick. It still continues.
Kevin Steinke - Barrington: Great. Rich, on the numbers in terms of the fourth quarter, how sustainable is the strength in Culture Shaping? Do you assume that continues into the fourth quarter or there would be some drop-off just based on the timing of project work?
Rich Pehlke: There is actually two points. I think as I mentioned in my comments, Kevin, Culture Shaping is going to be a lumpy and volatile revenue and earnings stream because we can't always control the time at which a client takes the initiatives. And it's not of the business of scale yet, where we can cover that volatility.
 :
 :
Kevin Steinke - Barrington: Perfect. And then on G&A expenses with the Global Partners Meeting all past year when some of those professional services piece, could we potentially see a sequential decline in G&A in the fourth quarter?
Richard Pehlke: I think so. My anticipation is that I still think I'm going to finish around the level I thought I would for the year and overall G&A expenses. Most of the increase I've seen in G&A has been either people-related, hiring-related or to help drive the revenue growth at the field level. It's not been very much at the corporate level. There is some technology expensed, it's called the "little uptick" in the run rate this year because we've added some tools in our proprietary database to make it easier for our consultants to work and gather data. But I'm still pretty pleased at the level where it is, but even indicated by my comments on the segments we're constantly looking at it. The key point to remember about our G&A, Kevin, is that we could run a lot more revenue through this model. As we build revenue capabilities of this business, the incremental operating leverage will be big. It hasn't always come through in 2014, because you'll see the difference has been in variable compensation, because of our broader base of participation and improvement in the productivity, which is great, but that's coming off the year where we didn't have it because of the bad results in Europe and so forth. So as we have a more balanced result and if we build on this, the operating leverage gets better.
Kevin Steinke - Barrington: Okay. Thanks for taking my questions.
Richard Pehlke: No problem. Good talking to you, my pleasure.
Operator: (Operator Instructions) We'll take a follow-up question from Tobey Sommer with SunTrust.
Tobey Sommer - SunTrust: Hi, there. I just wanted to ask about bonus accrual going in 4Q, as I try and look at the expendable cash number, also cash held in other jurisdictions; any color you can give us on that, that would be great.
Richard Pehlke: Well, the bonus accrual overall as we indicated, our variable comp has increased in the quarter, it increased about 3 million year-over-year. And so reflective of the fact that we have a stronger level of bonus accrual across our business and that's driven by two things, number one, more people achieving target productivity levels where they are bonus eligible in our various payout formulas and the overall accrual rate at which we feed that bonus accrual, because of the profitability in growth in the business. So it's definitely up year-over-year. In a material way, it's offset in part by the fact that we continue to address a relatively high fixed cost base particularly in salary and benefits. So we try and make more of the formula performance-driven versus fixed risk the upfront. We're still not where we want to be, but we've made some considerable progress in this year and that's helped to offset it.
Operator: And we'll take our next question from Tim McHugh with William Blair.
Stephen Sheldon - William Blair: Hey, good morning. It's Stephen Sheldon in for Tim. Thanks for taking my questions. First, I was just curious about your expectations for Consultant headcount by year end. Should we expect headcount to be up some from where headcounts did at the end of the third quarter?
Richard Pehlke: Again, we don't give the details about the specific number. Fourth quarter is a pretty tough time. When you think about -- it's not a promotion cycle time for us, and also the fact that at year end and especially in a busy market, in a busy industry right now, people are near their bonus cycles and so forth. So you don't tend to see as much movement. It's a constant effort in our part. We continually have a pipeline. But for example, usually right now we're talking to somebody in Europe, you are looking at a hire that happen sometimes usually in the first quarter because of garden leave and mechanics. So I'm not sure we anticipate that it would be significantly different overall, but again, it's a constant effort to build that level. We've said it many times and we'll continue to say it. The platform is big enough, the brand is big enough, the practices are big enough, the opportunities are big enough for us to continue to build the controlled base, and we're continuing investing that intelligently as Tracy indicated. We're just not going to chase people with money though or things like that. We're going to do it the right way. We've had -- the best success we've had is to continue to grow and develop our people, and we'll supplement that with specific needs and opportunities that cover areas where we're now the strongest we'd like to be on a practice basis.
Stephen Sheldon - William Blair: Okay, that's helpful. And then, I know you've talked about overall turnover, but could you maybe just give some detail about the sequential headcount decline in Asia Pacific, what was driving that, and is there anything you can provide some additional color there?
Richard Pehlke: Yes, in part there, I think we had some movement in large part because of performance manners.
Stephen Sheldon - William Blair: Okay, thanks.
Operator: And at this time, there are no further questions over the phone.
Tracy Wolstencroft: Okay. Thank you all for taking the time this morning. Thank you for your questions and your interests. We'll speak to you, if not before in another quarter. Thanks, again.